Operator: Good day, ladies and gentlemen, and welcome to the IMAX Corporation First Quarter 2022 Earnings Conference Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Heather Anthony of IMAX. Please go ahead, ma'am.
Heather Anthony: Thank you, operator. Good afternoon everyone and thank you for joining us on today's first quarter conference call. On the call today to review the financial results are Rich Gelfond, our Chief Executive Officer; and Joe Sparacio, our Interim Chief Financial Officer. Megan Colligan, President, IMAX Entertainment; Natasha Fernandes, Chief Financial Officer; and Rob Lister, Chief Legal Officer, are also joining us today. Today's conference call is being webcast in its entirety on our website. A replay of the webcast will be made available shortly after the call, in addition, the full text of our fourth quarter earnings press release and the slide presentation have been posted on the Investor Relations section of our website. At the conclusion of this call, our historical Excel model will also be posted to the website as well. I'd like to remind you of the following information regarding forward-looking statements. Today's call as well as the accompanying slide deck may include statements that are forward-looking in that they pertain to future results or outcomes. These forward-looking statements are subject to risks and uncertainties that could cause actual future results or occurrences to differ. Please refer to our SEC filings for a more detailed discussion of some of the factors that could affect our future results and outcomes. Any forward-looking statements that we make on this call are based on assumptions as of today, and we undertake no obligation to update these statements as a result of new information, future events or otherwise. During today's call, references may be made to certain non-GAAP financial measures. Discussion of management's use of these measures and the definition of these measures as well as a reconciliation to non-GAAP financial measures, including adjusted net loss, adjusted EPS and adjusted EBITDA as defined by our credit facility, are contained in this afternoon’s press release and in our earnings materials, which are available on the Investor Relations page on our website at imax.com. With that, let me now turn the call over to Rich Gelfond. Rich?
Rich Gelfond: Thanks, Heather, and good afternoon, everyone. Thank you for joining us. We reported our first quarter results today on the eve of a remarkable blockbuster season set to kick off next week. For the quarter we exceeded consensus estimates across nearly all key metrics including total revenue, gross margin, adjusted EBITDA and global box office. And we drove strong double digit growth in total revenue, gross margin and adjusted EBITDA over the first quarter of 2021. Our results demonstrate the solid financial momentum we've established over the last six quarters and our ability to consistently deliver improved results in a highly dynamic marketplace. Next week begins a formidable slate along the way to titles that stretches across the next two years and represents the most bankable franchises, filmmakers, and stars in the world. We're also seeing the pace of deal activity begin to pick up, including recently completed agreements in growth markets, such as Japan and Thailand, and we expect that to continue in the months ahead. And we continue to work with all our major partners to map out the rollout of new or refurbished theaters, including recently completed successful agreements with AMC, Cineworld, Regal, Pathé, PVR and CGV. As a result, we see a strong opportunity to build on our momentum and deliver value for our shareholders. As a premier global technology platform for entertainment and events, our focus for 2022 is to expand our business beyond blockbusters and deliver new, unique events and experiences to audiences globally, by putting our technology in the hands of new creative and platform partners, and becoming a destination for fandom of all kinds. But immersive blockbuster filmmaking will always be the straw that stirs the drink for IMAX and a blockbuster pipeline represents a significant opportunity to further drive box office revenue and capture market share and fuel the continued expansion of our business across live and interactive events and into the home. As the slate takes off, it's notable that streaming services face intensifying competitive pressures and renewed questions around the economic model for the streaming business, which could provide a tailwind for theatrical releases. We've long held that as the virus is brought under control, and people felt increasingly safe, consumers would be drawn back to communal out of home entertainment experiences. We're seeing evidence of this across all aspects of life, from people returning to gyms, to concerts and sporting events, to airlines and hotels reporting record breaking trends. And recent consumer trends reaffirm the irreplaceable value of a theatrical release. Our partners at the studios and streamers have told us unequivocally that a theatrical window is pivotal to their strategic plans going forward. And that content that benefits from a theatrical launch platform performs far better on streaming and tries greater value throughout the chain, most recently evidenced by the strong performance of Spider-Man: No Way Home and The Batman on digital platforms. This creates potential opportunities for IMAX from streaming services using the IMAX global network to launch tentpole IP to additional streamers adopting IMAX Enhanced technology as a competitive differentiator. Today, I'd like to discuss our outlook for the '22 content slate and how it creates opportunities across our business. How we're meeting the growing demand for IMAX technology among filmmakers, creators, exhibitors and our fans, and of course, our results for the first quarter. The first quarter prove that there's strong pent up demand for immersive, cinematic spectacles. Spider Man has grossed more than $110 million in IMAX today, ranking as our eighth biggest title of all time. The Batman exceeded expectations, generating more than $54 million in the IMAX network. The Batman's total North American box office performance was on par with any other top grossing Q1 title of the last decade. And with our events live strategy, we demonstrated that older audiences are ready to return to theaters for the right experiences with our successful launch of The Beatles: Get Back with Disney Plus, which began as a limited one-week IMAX exclusive engagement months after it was released on a Disney Plus streaming platform and went on to gross $2.5 million in a few IMAX theaters. On the heels of this success comes a strong consistent flow of highly anticipated releases. And more than ever, these films include IMAX DNA, having been shot with our cameras are created to include IMAX exclusive expanded aspect ratio, where they leveraged the powerful IMAX platform in new and creative ways for launch, further demonstrating our ability to create global events. The slate includes next weekend's Doctor Strange sequel, which builds directly on Spider-Man: No Way Home and is driving strong pre-sales globally. Doctor Strange has a clean multi-week run on the IMAX network before the arrival of Top Gun: Maverick, yet another film for IMAX release. Paramount just hosted a first look screening of Top Gun at CinemaCon and the early reviews are absolutely phenomenal. In fact, the audience was saying at the end, play it again. I've seen it and it's phenomenal, backed by a strong emotional story and some of the most stunning aerial photography ever committed to film. Following Top Gun is Jurassic World Dominion, a franchise that has been very successful for IMAX over the years. We're also planning a live connected theater launch event for the film. Pixar's Lightyear, which is very well received at CinemaCon, and makes pioneering use of IMAX technology for animation. The next installment of Thor which was shot with IMAX cameras, and Jordan Peel's Nope, which was shot with IMAX film cameras will make never before seeing use of our technology in his innovative storytelling. On the heels of the summer follows a number of highly anticipated movies including Marvel's Black Panther sequel, and DC's Black Adam, and we continue to eagerly look forward to the December release of the Avatar of Avatar: The Way of Water, the first of four plan Avatar sequels, given our history with this franchise and its alignment with our brand. Disney provided an exclusive first look at the new film at CinemaCon yesterday and it looks incredible. The studios will also attach a theatrical exclusive teaser trailer to Doctor Strange. The original Avatar still stands as the highest grossing IMAX release of all time with more than $250 million in box office despite an initial footprint of less than 300 IMAX screens. And that's just the Hollywood slate. We continue to grow and diversify our local language slate building on our record breaking welcome language box office of 2021. In fact, we program seven local language titles worldwide in Q1 our most ever in the first quarter. During the quarter, we saw strong box office performance from the China's The Battle at Lake Changjin II to India's RRR to Japan's Jujutsu Kaisen. Local language blockbusters are delivering for IMAX fans not only in their home countries, but around the world. In particular, Japanese anime is helping to drive network leading PSAs in Japan. In fact, 8 of our top 15 theaters worldwide in 2021 were in Japan, and strong performances in the U.S. and other key markets. This summer's blockbuster slate provides an excellent opportunity to advance our IMAX 3.0 strategy and evolve our global platform for events and experiences out of home and in the home. We continue to test our connected network of theaters to create live and interactive events around our biggest releases. As I mentioned, we're planning a live interactive fan event around the release of Jurassic World Dominion. And at this week CinemaCon, we shared a number of upcoming live events in our network, including performances from a diverse range of acts, including Pink Floyd legend Roger Waters, and a partnership with iHeartRADIO on December's iconic Jingle Ball concert. The 2022 slate offers a significant opportunity to expand our IMAX Enhanced initiative as well. Our goal is to expand the footprint of enhance further across streaming platforms and high end devices. Given how much technology is featured throughout Disney slate for the year, we see a strong opportunity to expand our marquee IMAX Enhanced partnership with Disney Plus. We're also leveraging our blockbuster slate to reignite our IMAX documentary strategy. Our newest project, the Blue Angels, shares, DNA and strategic synergy with Top Gun from the ambitious way it will use our cameras to our collaboration with producer Glen Powell, one of the stars of Top Gun: Maverick. Blue Angels is also the first documentary project for our long standing partners at JJ Abrams' Bad Robot, deepening our partnership with one of the most successful filmmakers in the world. We're excited about bringing a new generation of narrative driven modern IMAX documentaries to our network and see this as a viable business opportunity. Whether it's expanded distribution beyond institutional theaters and into commercial locations where our strategic focus or distribution rights for IMAX docs across streaming services, where we believe there are strong licensing opportunities. The 2022 slate is proof positive that IMAX technology is in growing demand among the world's best content creators and global audiences. At least 10 blockbusters scheduled for 2022 will feature IMAX DNA and we continue to evolve and grow the IMAX global platform to meet that demand. Denis Villeneuve swept the technical Oscar categories with Dune, a groundbreaking film created with IMAX digital cameras. Tom Cruise strapped digital cameras to F/A-18 Super Hornets to create aerial combat scenes, the likes of which the world has never seen for Top Gun: Maverick. And of course, James Cameron is poised to blow the collective minds of movie goers around the world with the new Avatar. We believe that the next several years are set to demonstrate that we are in a creative and technological renaissance for immersive big screen filmmaking. And fierce competition for who can deliver experiences that fans have never seen before anywhere. IMAX technology is the key to this. As a result we are building and developing a new fleet of state-of-the-art IMAX film cameras, working in partnership with filmmakers like Chris Nolan, Jordan Peele and cinematographer Hoyte van Hoytema. We're currently mapping out specs for the new cameras, and we plan to put them into production later this year for use in 2023. The use of our cameras and the way that it infuses IMAX DNA and exclusive elements into film is a strong driver of our box office and positions us to continue to take market share. Last weekend, we hosted more than two dozen exhibition CEOs from around the world at our annual CEO forum. For a three day program, where we give them access to leaders from across the studios and streamers, as well as talented creators from across Hollywood and the International filmmaking community. And there was a consensus among attendees that blockbuster content will be even more important part of the ecosystem moving forward, and that the need for studios and streamers to create global launch events around blockbuster releases will benefit theatrical and in particular IMAX. Returning to our results for the quarter, the first quarter was light as projected on new releases globally. Despite this IMAX drove solid financial results in the quarter, exceeding nearly all consensus estimates and driving year-over-year improvement across several key metrics. Total revenue, gross margin, and adjusted EBITDA, all showed strong double-digit growth over the first quarter of 2021. And importantly, we continue to drive strong market share gains, capturing a record 4.7% of the domestic box office in the first quarter, compared to our 4.4% of our full year's share for 2021, and the 3% market share we captured in the first quarter of our record breaking year 2019. We continue to demonstrate confidence in our strategy and the results by being opportunistic with share repurchases, which accelerated under our plan in the current quarter for a total of approximately 1.3 million shares repurchase year-to-date. In China, box office was also a bit softer than anticipated due to rolling closures of certain markets given the resurgence of COVID. We've implemented cost reductions in the market where appropriate. And we are cautiously optimistic around the continued reopening of impacting markets in China. In fact, 65% of our theaters are now open in China, up from 52% as of March 31. Our 27 theaters in Shenzhen have nearly all reopened and theaters in Nanshan, Xian, Qingdao and Hong Kong have also reopened in the past 10 days. We're also encouraged that an increasing number of Hollywood titles are securing releases in China including The Batman, Fantastic Beasts, Ambulance and Jurassic World. In conclusion, IMAX is poised to accelerate its momentum at the box office and the evolution of its business with the strong film slate launching next week. And we will continue to drive our current momentum in new theater signings as well. We are the premier global platform for blockbuster content. And in my 28 years with the Company, this is one of the best blockbusters slates I've ever seen. It provides an excellent opportunity to accelerate our financial momentum, and further our transformation into premier global technology platform for entertainment and events. Thanks again to all of you for joining us today. I want to conclude by thanking Joe Sparacio for his excellent work in serving as our interim CFO. And welcome Natasha Fernandes, whom we announced last week as our new CFO. Natasha has a phenomenal homegrown talent, more than 15 years of experience here at IMAX. She knows our business inside out, and I'm confident we'll grow our strong financial position, while fueling new business opportunities under her leadership. With that, I'll turn it over to Joe.
Joe Sparacio: Thanks, Rich, and good afternoon, everyone. We are pleased to report our first quarter results which demonstrated once again that IMAX is the place to experience the biggest, most compelling content. As we look ahead to the remainder of '22 and into '23, we couldn't be more excited about what's on deck. Let's talk about the results in detail. IMAX again demonstrated a differentiated financial model as an asset-light business with low fixed costs, minimal ongoing CapEx requirements and high incremental margins. First quarter of 2022 total revenue was 60 million, an increase of 55% compared to the 38.8 million in the first quarter of 2021. Gross margins increased 84% to 31.8 million from 17.3 million last year. First quarter adjusted EBITDA increased substantially to 14.8 million versus adjusted EBITDA of 2.8 million in the year ago period. As noted in our press release, we recorded a net non-cash provision of 6.9 million or $0.12 per share, driven by the uncertainty of collecting receivables in Russia. This provision which covers substantially all of our receivable exposure in the market was taken as an exercise of caution given the ongoing conflict in the Ukraine. It should be noted that there are no joint venture sharing arrangements in the Russian market and the receivables primarily relate to the remaining terms of the existing long-term sale STL agreements, which average seven years. It is difficult to predict how events will develop in the next few months let alone the longer term future. This has resulted in an adjusted net loss of $0.14 per share, significantly reduced from a loss of $0.25 per share in last year's first quarter. Excluding this non-cash provision, adjusted EPS would have been a loss of $0.02 per share. By way of reference over the past five years, Russia has represented on average approximately 3% of our annual box office. IMAX technology revenue increased 59% to $32.2 million in the first quarter from $20.3 million in Q1 of 2021. As Rich mentioned, this increase was largely due to the strength of blockbuster titles, such as The Batman, Spider-Man: No Way Home, and the Chinese New Year title, The Battle at Lake Changjin II. Gross box office for the quarter was $173.2 million, a 57% increase from the first quarter of 2021. Q1 gross margin for this business was $19.8 million, a 95% increase from gross profit of $10.1 million last year. Our margin rate of 61.3% was 1140 basis points increase compared to the 49.9% in the first quarter of 2021, once again illustrating the operating leverage inherent in the business model. IMAX technology sales and maintenance revenue for the first quarter increased 48% to $25.2 million compared to $17 million in last year's first quarter. During the quarter, we installed 14 IMAX systems four which were some new sales or STLs. In comparison, we installed 12 IMAX systems in Q1 of last year, including two new sales or STLs. Gross margins for this business increased to $12.2 million compared to $7.1 million, which was driven by substantially higher maintenance revenue and an increase in the number of new sale STLs installations versus the year ago period. As mentioned on our February call, we continue to expect installation activity to increase over 2021 levels with seasonality similar to previous years, meaning increased activity in the second half. Please note that there are no installs in Russia targeted for 2022. Q1 SG&A excluding stock-based compensation was $24.5 million in the quarter, relatively consistent with 2019 levels and higher than 2021 levels of $20.3 million. The year-over-year increase was primarily driven by the expense associated with full staffing complements as compared to a reduced workforce last year. We expect full year SG&A excluding stock-based compensation to be consistent with 2019 levels with modest growth. Capitalizing on what we viewed as an undervalued stock price, we repurchase 380,000 IMAX shares at an average price of $16.45 for a total of $6.3 million during the quarter. Subsequent to Q1 through yesterday under our 10b5-1 plan, the Company has returned repurchase 869,000 shares at an average price of $16.42 for a total of $14.3 million. IMAX China repurchased 1.5 million shares at an average price of $1.26 per share for a total of 1.8 million. We intend to continue to be optimistic in repurchasing shares when we view our stock price as disconnected from the underlying fundamentals of the business. We ended the quarter with 162.3 million in cash and 234 million of debt excluding deferred financing fees. In March, we amended and extended our revolving credit facilities on substantially similar terms. The new facility doubles the amount allowed to be invested in share buybacks in comparison to 2021 levels. The new maturity date is March 2027. When combined with the 300 million available under our credit facility and 26.3 million available under our IMAX China working capital loan, we have 488.6 million of available liquidity. In the first quarter, we spent 5.9 million on capital expenditures including 4.6 million invested in equipment for joint revenue sharing agreements. This quarter further demonstrated a fan seek out IMAX to experience the content they are passionate about. With the exceptional 2022 and 2023, slates ahead of us and the vision we have for expanding IMAX into new forms of content and into the home, I am incredibly optimistic about the business. I've enjoyed helping the IMAX team over the past year as interim CFO and believe the table is set for continued growth and expansion. I'm delighted to hand the reins over to Natasha Fernandes, our new CFO. I've had the pleasure of working with Natasha for almost 10 years. More recently, Natasha distinguished herself in spearheading a number of forward thinking successful moves to strengthen the Company's balance sheet and provide maximum flexibility in navigating the pandemic. Her deep understanding of IMAX, passion for the business and diligence will serve the business well during this exciting time. I look forward to seeing all of the good things to come. With that, I will turn the call back over to the operator for Q&A.
Operator: Thank you. [Operator Instructions] We'll take our first question from Eric Wold with B. Riley Securities.
Eric Wold: First off, Rich, and maybe talk a little bit about China and kind of what you're seeing the origins of the reopening of the theaters? So far since the end of March, maybe give us a sense of your thoughts on how quickly we could see visitation levels ramped back up once those reopen with what the slate looks like? And then given what you will be seen with China recently in terms of limited Hollywood approvals for the country, when you expect China to get back to kind of green lighting, more towards the upper limit of what is allowed each year?
Rich Gelfond: So, obviously, Eric, it's hard to be precise and exactly how quickly will reopen. But as I said in my remarks, it went from around 50% at the end of March to around 65% now, and I noted a number of cities that have recently reopened. Our team in IMAX China and again, let's be clear, they're not epidemiologists, but they think that Shanghai is going to open in the next couple of weeks, pretty much so. I asked a lot of people. So, there's no one uniform answer. But if you remember, even in the U.S., Omnicom came through pretty quickly and then it moved on. So, I don't think this is going to be a long-term issue there. And in terms of audience's reactions, we do have a few data points, we have, the first data point is when the pandemic lifted off in China and I guess in 2020, and people return really quickly there. And judging by and other times that shut, they return quickly. So, that would be my best guess. And in fact, in the last, each of the last two years, I believe that the highest grossing films in the world, during those years were Chinese blockbusters. And by the way, as an aside, on they were each shot with IMAX cameras. So, I feel pretty good about that. In terms of movies getting in, there's been a lot more getting in this year than it was last year, for a variety of reasons. As I mentioned in my remarks, it hasn't been dated yet but Jurassic World got in, which is historically a film that does very well in China. Given Jim Cameron's relationship with China, and how well that movie did, I'd be shocked if it didn't get in. And those are two of the biggest films of the year. So again, while it's very hard to pinpoint their trajectory, I do think, throughout the year, you're going to see a fairly rapid return to normalcy. The other thing I wanted to just remind the listeners, which you know, well, is that IMAX is an asset-light business model. And for other businesses, it takes a long time financially to ramp up after some kind of return of people in large numbers. With IMAX, it happens extremely quickly as you see through our financial results. Specifically on the fourth quarter of 2021, how quickly, it fell to the bottom line. So, we're still in the middle of a situation, which you can't pin down. But speaking a lot to our team on the ground in China, I think their expectation is that it's going to turn faster than most people think.
Eric Wold: Before I get into this. One quick additional question. I guess, on the nontheatrical business in the live events and concerts, where your updated thoughts now you're going to do, what kind of organized a little bit in terms of how fast you can get up to scale on that with whatever you think the maximum number of features are globally with the necessary technology? And then what would be in your mind the maximum number of events we could see under that model without impacting traditional theatrical runways?
Rich Gelfond: Well, in terms of scale, we've been working really hard with our partner at Verizon, as well in international territories with the local telcos. And I don't want to give specific numbers because there's lots of variables like building permits and things like that. But I do think you're going to see us scale up fairly rapidly towards the end of this year, and then going forward after that, and we put a lot of resource into making that happen -- in terms of and on a global basis. And in terms of the number of events in a year, I think we could see a period of time when you compare all the events, which includes launches of films with a Q&A and casts and directors around music events, other kinds of events, sports events, things we haven't talked about yet, I think it's kind of easy to see a time where we could do at least 25 a year.
Operator: We'll take our next question from Eric Handler with MKM Partners.
Eric Handler: It does seem like you're having some good success on a relative basis with your local language titles that you released recently in India, Japan. I wonder how many non-China local language titles you have sort of queued up for 2022 at this point.
Rich Gelfond: So, I'm going to turn it over to Megan in a moment. But as I mentioned in the remarks, we did two in India already, both of which perform pretty well. We did one in France, called based on the Notre-Dame on Fire, directed by Jean-Jacques are nowhere we had very good indexing for national release on a small footprint. And as I said, we had seven in the quarter. Megan this year, what other countries and how many do you think?
Megan Colligan: We still have a couple left in China. But that's the lion's share of local language for this year. But this is an ongoing program, this is we have five picture deal with Toho in Japan, and those pictures are still to come. And that is something that we are continuing to work on. And we will continue to be investing in as proven to be incredibly successful.
Eric Handler: And then, Rich, I know it's very…
Rich Gelfond: Eric, sorry to interrupt, but someone just gave me a note that there are two to three more in India scheduled for this year.
Eric Handler: I was going to say, I know it's barely been 24 hours. But given the very positive reaction to what was shown yesterday at CinemaCon with Avatar 2. I wonder, is that starting to generate some more conversations about exhibitors trying to move more quickly to get installs in place.
Rich Gelfond: Eric, I've been back and I left LA, I left Las Vegas yesterday to get here in LA to do the earnings. So, I wasn't really in the middle of talking to exhibitors, but the mood among exhibitors was actually quite good. And as I mentioned earlier in the call, there does seem to be increased activity and momentum around signings. As you know, for Avatar 1, a lot of people pulled installs forward. It's too soon to comment on that, but I mean, just the slate is so killer. Again, I want to say this again, I said it before, but we have Doctor Strange with the Avatar trailer opening in a week. Then you go to Top Gun, which as I said, I've seen, it's crazy good. And that's just going to be, that's going to be part of the discussion. Now that it's been seen, and Colin Trevorrow, who spoke in our CEO forum, a lot about Jurassic World, I think, is also going to be on a par with previous, a Jurassic World blockbusters may be better. So, I don't think it's going to be a matter of people sitting around and saying, what's the date Avatar is going to come back. But we're just coming off a first quarter that was light on films. And I think it's kind of the murderer's row of a lineup for the rest of the year going into Avatar. So, I can't predict it now, but certainly there's never a better incentive than this film slate to get people to think about that.
Operator: We'll take our next question from Chad Beynon with Macquarie.
Chad Beynon: I was wondering if you could talk a little bit more about some of these market share numbers that that you have in your slide deck. I understand that, the quality or the quantity of product is not, where it will be in a couple quarters here as some of the more mid range movies come out. But I was wondering just based on what's going on with the consumer, particularly in the U.S. Do you expect that as we come out of this, your market share, particularly in the U.S. could be higher? It seems like, the U.S. consumer, particularly with theater has really moved more towards the luxury and premium end? Thanks.
Rich Gelfond: Yes, I mean, you've seen some of that with The Batman when it came out. And the fact that things have come out and as far as way means that everybody is playing the same movie. There are lots of screens, much more than that would have been previously. So I do think as this competitive movies coming out in the marketplace, and there are smaller movies coming out. Just as a matter of math, you should see the trend you describe the move to premium in general in IMAX specifically, I do think that I'll continue. And, again, while we were at CinemaCon two days ago, we were reminded, Denis Villeneuve talked about the success of Dune. And I want to remind everyone, we did 25% of the box office and Dune and less than 1% of the screens. So I mean, there are incredibly positive transfer, batman was a very big kind of screen film into this on lots of screens. And we did 12%, the opening weekend. So, yes, and when you see some of the films I just referred to Doctor Strange film with IMAX cameras, Top Gun film with IMAX cameras. Many of the -- Nope film with IMAX cameras. Typically, we over index over market share when our cameras are being used, and this year, it's 10 times. So, you take the global trend, plus our DNA in the movies, and I feel good about that.
Chad Beynon: And then, just wanted to ask about the back half loaded comment expectations for new installs, I feel like you guys have talked about this for years and make sense in kind of a normal year. But, just given the slate why wouldn't some of your exhibiting partners want to install your projectors ahead of that? Is this more of a product of where China is in their recovery? Or is it again, just kind of the normal seasonality? Thanks.
Rich Gelfond: Well, there is normal seasonality, but hopefully, you'll when we estimate for call like this, we look at historic patterns in past years. And that's the pattern. So, I'm not going to predict that the pattern changes, I hope the pattern changes. But again, particularly this year, there's just so much going on all year. I think also, we on the, what you guys on the outside as analysts, think about it one way. But you got to remember, in the real world, the first quarter was a pretty limited film slate. And I just don't think the day that Top Gun opens, they're going to say, let's accelerate installs. And then the final point would be that some of these are new buildings. And some of these have refurbished seats in them. And some of them, they're construction issues. It's not a theoretical thing. So, it's not like the cavalry is waiting in the lobby. And they're good results on a movie and they say, let's go in there, guys. And let's accelerated hopefully that happens. But I just think it's a hard one to predict.
Chad Beynon: Appreciate the extra colors. Thanks.
Rich Gelfond: Thanks. I am glad you did. I wasn't sure it went over so well. So thanks.
Operator: Moving forward to Steven Cahall with Wells Fargo.
Steven Cahall: Yes, first, I was just wondering if you could dig a bit deeper into the way you've talked about the install guidance for the year and I would guess at this early stage. Some of the challenges are just that the lockdowns in China have persisted a little longer as well as maybe some rollover into eastern parts of Europe from the events there. But then, the film's are performing really well in all the ways that you've talked about. So since you gave the last install guidance, do you feel better about it? Is there any narrowing that we can think of to try to figure out, well, that might land? That's the first one. And then my second question is just on share repurchases. I think your valuation multiple is like back to pandemic levels. So I'm just how curious how aggressively you're looking at getting into the market since you have such a strong balance sheet?
Rich Gelfond: So, on install, we haven't given specific guidance. We've said we expect to increase installs over 2021 levels, but not reached 2019 levels. And I think what I know now would indicate that that's still accurate. And I don't think there's been enough movement in the first quarter for us to have a different point of view on that. I think we stick by that point of view and we'll have more color as the year unfolds. The other thing I would say, is just when Heather came into her new role, she reminded me of something. I mean, if we do $50,000 and extra PSA, that equals 10, install STL installs in the year. So I mean, internally anyway, we obviously focus on what our projected results are for the year and how we think we're going to deliver I keep saying, I think this is going to be a really strong year, but whether that comes through PSAs or through installs are specifically where it is, it's just too early in the year to further narrow that down. The second question about repurchases. So before we went into the blackout period, and this year, it was a fairly large blackout period because the fourth quarter was reported late in the year. This is the shortest time. We put in place a 10b5-1 plan that put in certain purchases at prescribed levels, and during this window, the blackout window, especially over the last several weeks. So, I think we've been as aggressive as we can be in share repurchases. Every day, I look at the stock price and I kind of, at one level feel, disappointed that what we delivered in the fourth quarter, and where we are in the industry and where we are in the recovery isn't reflected. And I lie if I said, it didn't disappoint me. On the other hand, the other side of me says, y'all, that's gobble up whatever we can as quickly as we can. And we've been doing that, Steve.
Operator: We take our next question from David Karnovsky with JP Morgan.
David Karnovsky: Rich, you touched upon it a bit your prepared remarks that you did just come from CinemaCon and your CEO forum. So like, I have to ask for any additional thoughts you have on how studios are looking at theatrical. It does seem like re-streaming growth slowing as the pendulum is swinging back a bit in favor of film windows. So any viewer in the conversations you've been having would appreciate it?
Rich Gelfond: Yes, I think for blockbuster films, of the types of things that IMAX shows, it's all theatrical for the studios. I don't think you will see a hybrid model or a streaming model for any blockbuster film for 2022 or probably beyond. I didn't hear one person mentioned that. And besides in those places, over the last few weeks, Megan and I had meetings with virtually all the studios in LA and at high levels of those studios. And I think that the studio's realized that that's a model, that didn't really work. And that, at part of what I said during my script was, forget about the whole financial model, just look at the streaming model. They said that releases that had a theatrical window and then went to streaming did better on streaming. And that's been two or three studios told me that empirically, so I just don't see how, in light of that data, they go back to their experiments, which didn't work in 2021. The other thing I would say is and I mentioned this briefly in my remarks, we also meet a lot with the streamers. And I think, given the demographic changes and the growth and subscribers and retention and all those things, I would not be surprised as a matter of fact, I would predict that some of the streamers start to go to theatrical windows for some of their bigger films. So I think, it was kind of this existential threat hanging over the movie business for a long time that, given their chance, they're going to move it to streaming. Well they had their chance, during an existential threat to the whole business, and I call it the biggest stress test you ever could have designed and it didn't work. So I just think that's an experiment that's over.
Operator: We take our next question from my Mike Hickey with The Benchmark Company.
Mike Hickey: Hey, Rich, Joe, Heather, and Natasha, Megan, congrats on the quarter, guys. Thanks for taking my question. First one, Rich, on Avatar 2. Just curious, again, sort of your initial thoughts here, maybe after you saw the demo I think it didn't include dialogue. So it seems to be very tech heavy. And of course Avatar was sort of unleashed 3D on us when it first came out. Just sort of curious sort of is it met or exceeded your expectations and what it could mean moving forward in terms of maybe greater 3D adoption here and domestic markets again. And then the technology, if that creates barriers to some of your competitors screens, meaning, if you want to see it in the most premium format, you have a select number of screens, I'm assuming that would be you, and then going down from there? So that's my first question.
Rich Gelfond: So on the first question, it was a teaser trailer. So they deliberately did it without dialogue and with music, and you call it they were demonstrating their technology, I thought they were demonstrating their images. I mean, the images are amazing, they're spectacular. Technologies evolve, in the 13 years since the last one came out and while that was fresh and innovative, I thought this was spectacular, in a similar way, and really happy to say it. In terms of 3D versus 2D, the early kind of discussion around it is that it'll probably be released in both 2D and 3D. And I think we have to assess, what we're going to do in different countries and in different theaters and different show times. But the reason it's a good question is, not only on Avatar, but I believe that Doctor Strange is going to be released in 3D in some theaters. And remember, there are four more avatars to come. So I do believe that can partially lead to a 3D Renaissance, I don't think it'll go back to where, they made everything in 3D, and converted it. But this kind of quality, and this kind of look, I think, will increase demand. And we do have a massive competitive advantage there, because we were such a market leader. And we have a technology advantage there. And I didn't intend to talk about what I'm going to say, but I will, which is that we have so much hope for Avatar 2 that we've created an internal task force that crosses over technology, distribution, manufacturing, maintenance, marketing, all kinds of areas to figure out a way as a company, we can capitalize on it. And we will, because the last one, the good news is we got caught off guard. And as you know, we have less than 300 theaters, if $250 million. I could tell you one thing, if there's any opportunity here, we're going to be ahead of the curve on that. And I think 3D might be a part of that.
Mike Hickey: The last question on China, Hollywood, is going to China. Is it just your asset world that you sort of secured distribution to China at this point or maybe there's others curious on that? And then what is their sort of a rule of thumb rich in terms of a timeline where you get visibility in front of the film's release or is it pretty variable?
Rich Gelfond: So in terms of China, I've heard that a number of films that were in the queue have passed censorship but that doesn't mean that they've yet been approved to come into the country. So there are lots of films going in. There are films that are past censorship, but I think actually they've taken a little bit of a breath just because of what's going on with the theater closures. So, they don't want to say yes, they approved Jurassic World before kind of the COVID restrictions flowed through. So I think they're kind of waiting to see where it goes from that, but every indication is that, they will continue to let in a normal amount of Hollywood films, rather than 2021, which is the victim of a lot of factors, including the pandemic. And the second part, oh, how long does it take? So, if I was better at predicting the stock market, I probably would be long retired by now. But if you ask my prediction, I do think when people see the numbers coming out of the release, is that start in like a week, and they see people coming back, and then they focus on the slate right after that, I would think it would be fairly rapid. And that's happened before, when there have been closures and re-openings and gaps in the slate.
Operator: Moving forward to Mike Ng with Goldman Sachs.
Mike Ng: I was just wondering if you could expand a little bit more on the trends you're seeing in indexing seems like this, this blockbuster realization of movies should certainly help that? What are you seeing relative to pre-pandemic levels and any color on domestic versus international? And then as a follow-up, could you just remind us what that Avatar historical indexing look like? And obviously, things are very different now, but do you have an outlook for this time around?
Rich Gelfond: So, on your first question, about indexing, I think it's been very positive everywhere in the world but I can't compare International to domestic. But I can tell you that on Fantastic Beasts, we vastly over indexed internationally. I think actually, our indexing in North America was hired too, but I think it's somewhat content dependent on a country by country basis, but the trend is very clear. So for example in China, we've been over indexing for local language films and Hollywood films in a fairly material way, ever since China opened up. In North America, as I said, The Batman did around 12% opening weekend. And usually that's the kind of film because it opened so broadly, that we probably would have been more like 9% or 10%. Fantastic Beasts were around 10%. So pretty much consistently, Michael, we've been indexing, over indexing quite well and it's a trend that I think will continue. Just going, I don't remember it was 13 years ago, I have a pretty good memory, but not that good. But we did about $250 million. I think Avatar overall did $2.8 billion, so roughly around 10%. But at the time, we were at 300 theaters, and now we're around close to 1800 theaters. Now, obviously, some of those theaters are going to cannibalize themselves. It's not a completely, you can't just do math and say, it's going to do that. But given what our indexing was the last time around with a lot less theaters, I'm hopeful that we'll have strong indexing.
Operator: We take our next question from Jim Goss with Barrington Research.
Jim Goss: I was thinking that most of the local language film is really good for the market in which it's produced. But I'm wondering if the Japanese anime seems like something that could be different and more portable to other markets. Is that the sort of thing that could be used in the United States or Europe or other areas?
Megan Colligan: Yes, it is a growing trend that's been happening over the course of the last several years. There's an export business that happens, particularly with Korean films, some Japanese films and Indian content, where there's a really rabid market outside of those countries for those countries films. And so you'll see, when there's a big hit in Korea, for instance, it'll play very nicely in both China and Japan. And you'll see with anime plays very well in markets all over the world when it's a big hit, particularly in its unknown base. Bollywood titles export extremely well, both in Europe, Canada and the U.S. So, it's -- I think it's a bit of a reflection of globalization of content that's come from streaming and increased awareness of content. It's also there's expat communities that live all over the world. And that you're finding those communities where they live, and you're supporting them with the content that they most want to see, and giving them experience out of the home. And so, there's definitely a marketplace for that. And I think it's something that we at IMAX are really interested in exploring to an increasing screen.
Jim Goss: Do any of them reach a level where they might be better than the third or fourth week of even some of the blockbusters who might have a downdraft for the first week or two?
Megan Colligan: Yes, I mean, there's a lot of popularity. Anime has a lot of popularity. And it's growing steadily in the United States for sure. It just takes one example of a genre.
Jim Goss: And the one other question I have is, the narrative driven opportunity you brought up with the Blue Angels? Is that something also that could either be used on, say, IMAX screens during the middle of the week or on other screens in theaters can it go beyond what one of may have started at?
Rich Gelfond: Yes, Jim, that's what we intend to do. And I think it'll eventually go on to the streaming world, and, whereas streaming at some point seemed like an existential threat. I think that provides an opportunity for us, not only in the areas that I discussed, but in the areas of being able to finance content off the money that's available there. And I think documentaries are kind of a new supercharged category, which people like and in a cluttered market, like docs, IMAX docs mean something really special. So, yes, I do think that's an opportunity.
Operator: It appears there are no further questions at this time. I'd like to turn call back to IMAX for any additional closing remarks.
Rich Gelfond: Thank you, operator, and thanks, everybody for joining us. So I really do think we're on the verge of a breakout at IMAX for a number of reasons. First of all, as I said multiple times, the slate and like I've been talking about Top Gun for a while and the buzz was there, but not to the extent it was today after was shown at CinemaCon. And I think that's going to be true for a lot of things. And it's not just going to -- now people are saying, oh, well, Spider Man was a one off or The Batman was a one off. I think that's going to be a new narrative on a regular basis, and it's going to start very soon. Number two, the theatrical experience just came through the biggest challenge it's ever faced, the dual threat of pandemic and streaming, going day and day. And I think that's the streaming part has been proven not to work, people need a theatrical window. And whether it's a studio, or eventually a streamer, there's going to be windows around lots of things. And I think that's going to be apparent soon. Third thing was the market share, which we just talked about, where IMAX has increased market share on a global basis. And by the way, some of that I think, is coming out of the pandemic. People are saying, I'm really, want something special when I'm leaving the home. And I think you're seeing that in a lot of other premium experiences. And then finally, we're putting our money where our mouth is. So if the rest of the world doesn't believe our story, we do. And we're aggressively buying back stock at these prices. So, we'll -- everybody can wait and see, but I'm putting my money on the fact that this is going to turn pretty rapidly. So thank you all for joining and thank you for your interest in IMAX and we'll talk to you soon.
Operator: That's concludes today's call. Thank you for your participation. You may now disconnect.